Operator: Good morning, and welcome to WEG's Earnings Conference Call for the results of the fourth quarter of 2025. I would like to highlight that interpretation is available on the platform through the Interpretation button accessed via the globe icon at the bottom of the screen. Please note that this conference call is being recorded and broadcast live. After its conclusion, the audio will be available on our Investor Relations website. [Operator Instructions] If we are unable to answer all questions live, please do present your question to our e-mail address at ri@weg.net and we will respond after the conclusion of this conference. We'd also like to emphasize that any forecast contained in this document or any statements that may be made during this conference call regarding future event,s, business outlook, operational and financial projections and targets and WEG's future growth, potential growth, constitute merely the beliefs and expectations of WEG's management based on currently available information. Such statements involve risks and uncertainties and depend on circumstances that may or not occur. Investors should understand that general economic conditions, industry conditions and other operating factors may affect WEG's future performance and mainly to results that differ materially from those expressed in such forward-looking statements. Joining with us today, we have our CFO, Andre Luis Rodrigues; Andre Menegueti Salgueiro, our Finance and Investor Relations Officer; and Felipe Scopel Hoffmann, Investor Relations Manager.
André Rodrigues: Good morning, everyone. It is a pleasure to be with you once again for WEG's earnings conference call. In Slide 3, we have the operating revenue, which decreased by 5.3% compared to 4Q '24. In Brazil, industrial activity remained positive, supported by sustained demand for short-cycle products and deliveries of long-cycle projects. The decline in revenue compared to the same period last year was motivated by the absence of centralized wind and solar generation products. In external market, we continue to see a strong level of deliveries in the power generation, transmission and distribution business. Especially in the transmission and distribution segment in North America, combined with a solid demand in industrial, electrical and electronic equipment business across the main regions where we operate. Although revenue in Brazilian BRLs was impacted by exchange rate fluctuation. We closed the quarter with an EBITDA margin increase compared to the same period last year, and it was 22.4%. EBITDA reached BRL 2.3 billion, representing a 4% decrease compared to the fourth quarter of '24. Throughout -- and then our main financial indicators remained at a high level of 32.5% as we will see in more detail on the next slide. ROIC remained at a healthy level, driven by the maintenance of high operating margins. However, we observed a reduction in the quarter compared to the same period last year, mainly due to increase in invested capital related to investments in fixed assets and acquisitions during the period. I now hand it over to Andre Salgueiro.
André Salgueiro: Good morning, everyone, and thank you, Andre. On Slide 5, I will show you the revenue performance across our business areas. Starting with Brazil, industrial activity was positive for short-cycle equipment with diversified demand across several segments in addition to strong demand for new traction systems and batteries for electric buses. Despite a still restrictive environment for new investments, long-cyle equipment also delivered solid results. In GTD, the decline in revenue was mainly due to lower deliveries in the generation business, especially because of the absence of centralized wind and solar generation projects. In addition, the T&D business also experienced fluctuations in deliveries, which is natural for this type of product. In Commercial and Appliance Motors, demand remained stable compared to the same period last year with solid performance in the construction and compressor segments. In coating and varnishes, demand remained positive, diversified across different segments with emphasis on the sale volume of liquid paints in the construction segment. In the external market, although revenue in Brazilian real was impacted by the exchange rate fluctuations, industry activity remained healthy in several markets, especially in the ventilation and refrigeration segments. We recorded a strong volume of long-cycle equipment deliveries, particularly high-voltage motors despite reduced new investments due to ongoing geopolitical uncertainties. In GTD, we continue to see strong delivery volumes in T&D business in the United States, although at a slower pace in other operations, particularly in South Africa. In the generation business, we saw a solid performance in North America and fluctuations in project deliveries in India. In Commercial and Appliance Motors, we observed sales growth in key regions, especially in China and North America, in addition to the contribution of both businesses to revenue in the quarter. In Coatings and Varnishes, we recorded revenue growth driven mainly by strong performance in Mexico and the contribution from the recently acquired Heresite site business in the United States. On Slide 6, we can see the EBITDA performance. The EBITDA margin closed the quarter at 22.4%, increasing compared to the same period last year, reflecting a better product mix and efforts to mitigate the impact of recent changes in international tariff legislation. EBITDA decreased by 4% compared to the fourth quarter of '24, mainly due to lower revenue in the quarter. On Slide 7, we show the evolution of investments, which totaled BRL 814 million with 50% allocated to Brazil and 50% to operations abroad. In Brazil, we continue the modernization and expansion of production capacity in T&D in addition to capacity increases and productivity gains in Jaragua do Sul and Linhares. Abroad, highlights include the progress of transformer investments in Mexico, the United States and Colombia as well as investments in expansion production capacity in China. With this, I conclude my remarks and hand it back to Andre.
André Rodrigues: On Slide 8, before moving to the Q&A session, I would like to highlight the following. In December '25, we announced the acquisition of Sanelec, an Indian company specialized in the manufacture of ultra regulation and excitation system. With this acquisition, we expanded our international footprint, strengthened the solutions offered to existing customers and increased our participation in power generation control market. More recently, we announced the construction of a new plant dedicated to the production of battery energy storage systems in Itajai with conclusion expected for the second half of '27. And finally, I would like to address our outlook for this year. We continue to see strong revenue opportunities in our main businesses, both in Brazil and abroad. However, exchange rate impacts and the absence of centralized solar generation projects may weigh on growth, particularly in the first half of the year. We maintain a healthy operating dynamic with an ongoing focus on operational efficiency and productivity gains, which should continue to support solid operating margins and returns on invested capital. As part of our continued investment program, we approved a robust capital expenditure plan for '26 totaling BRL 3.6 billion, supporting the company's strategy of continuous and sustainable growth. It's always important to remain attentive to the global macroeconomic environment and potential risks and volatility. Even so, we maintain our expectation for business growth, strengthening our presence in Brazil and globally while pursuing opportunities in new markets. This concludes our presentation. We can now move on to the Q&A session.
Operator: [Operator Instructions] And to kick off with the first question from Lucas, BTG Pactual.
Lucas Marquiori: Well, thank you very much. I have 2 comments to make. First, on tariffs. And I would like to hear from you the announce -- your understanding. We know that the basis is 30%. And I would like to know how it works now since there -- is there a negotiation to accommodate prices? Would that affect any request? So the first topic is U.S. tariffs. And then number two, the auction with a lot of comments on Chinese participation. And so I would like to hear from you what would WEG's competitive differential be regarding this auction?
André Rodrigues: Lucas, thank you for your question. I will talk a little bit about tariffs, and Salgueiro can update that as well. I would like to review what was mentioned before. Our understanding is that the tariffs that have been determined and announced for '25 in Brazil, which added up to 50%, lose their power, and initially, it was announced as stand, but it may be that it will increase to 15,%, 232 continues. It is the section of the law on commercial expansion applied above all to iron, aluminum, copper and imported products from the U.S. But it is too early, I would say. We do not know whether we're going to have new tariffs announced in the upcoming weeks. And therefore, it's a bit premature to discuss commercial strategies right now. It's important to highlight that the current situation gives us a better competitive approach. We will continue discussing it, evaluating the impacts and taking the necessary measures to mitigate all of these effects. But we have to wait a little bit longer so that we know -- so that we have a better idea of what is going on.
André Salgueiro: Good morning. This is Salgueiro. And regarding the auction, it's important to highlight that it might happen now in the first quarter, and the expectation is for early June. But in practice, it has not been officially announced and published. We are monitoring it and tracking the development market estimates and what has been informed the auction would be for 2 gigs of installed capacity, but other information is being considered. We have been prepared for this for a while now. Since the purchase of the technology in 2019 of the NPS in the United States, we've been developing some small and midsized projects, both in the U.S. and here in Brazil. And now more recently, we were preparing ourselves for this more structured demand for large products in Brazil with a more recent announcement made in Itajai, and that will increase our productive capacity in Brazil so that we can meet the demands of this market. Regarding competition, it's only natural to imagine a competitive environment for this segment just as we have it for others such as wind and solar. So it's only natural that this will happen, and we are preparing ourselves the best way possible to address this market. And then, there are some other aspects that we like to reinforce. So we have a long-standing relationship with the operators of this project, which could be a differential for us, engineering support, aftersales support and the presence here in Brazil for many years. And of course, the competition aspect with the new plant, we have to be prepared for that. So we are following all of the regulatory aspects. They are not 100% defined, but we are monitoring, and we have to make the best use of opportunities that will come, not only this year, but in future years when we will have a lot of opportunities.
Operator: Our next question is from Joao Frizo, Goldman Sachs.
João Francisco Frizo: I have three. First, I would like to hear a little bit about [indiscernible], the area of electric and industrial motors here in Brazil, and worldwide will have uncertainties, which have had an impact on orders. Could we expect a weaker growth for '26 because of this? And regarding capital, you mentioned relevant figures for '26, but could you expand that? Regarding CapEx, we've been running for some years at 3% above revenue. And if you look at '27 -- in 2029, should we expect the same? Or should we expect a normalization?
André Salgueiro: This is Salgueiro. I will start with the long industrial demand cycle, and then, we'll talk about CapEx. As you mentioned, we've had some quarters in industrial area, both in Brazil and in the external market with some volatility. The scenario is not poor, but there is some volatility. Here in Brazil, we do have the impact of interest rates. We also have the investment cycles of the main segments that demand these projects. We have oil and gas, mining, paper and cellulose and pulp actually. And we're going to have an increase this year. So we have these 2 factors. And abroad, what we've seen are some delays, especially because of the geopolitical aspects and lack of definition of tariffs, there is some volatility. It's not something that is reason because when we look at our orders, we do see some oscillation, which is only natural for this type of project. Revenue was good, both in Brazil and abroad for the projects and the deliveries made throughout the quarter, but we have to analyze on a quarter-by-quarter basis. And now I will talk a little bit about capital, which was disseminated yesterday with robust growth of BRL 3.6 million for '26, the greatest we've had this far to support our levels of growth. And then how can we break it down, 46% will be for the domestic market and 54% abroad. In Itajai, we have an expansion of the plant, looking at verticalization, increase of production capacity. And I think that the most relevant investment in is what we recently announced. The construction of the new plant in the second half of next year, it will be concluded, and we also have the auction, as mentioned during our presentation. It will be -- it will represent good opportunity. And then, we also announced growth in other areas, and the relevant growth will be the new plant to be concluded in '28 of electric large machines, where we will have a greater capacity of production of compensators and machines, where we developed in Jaragua do Sul in addition to increasing our capacity of larger motors high -- voltage motors. Part of this investment, I would like to remind you is related to the expansion of transformers that we announced in the past years and here in Brazil. Basically, we end the year with the expansion in the team, increasing the baton capacity, and we continue the expansion of transformers in Gravatai, and that will end in '27 end. And to conclude, in Linhares, we have the increase in our capacity. When we discuss what is happening abroad, we have the transformers and different investments. We also have a new liquid paint plan so that we can take this business to North America. And we also have verticalization in China, we have the high-voltage motors. In Turkey, we have a new plant with -- a new bearing plant. And then finally, the last investment package would be the modernization of one of the plants of special transformers in Missouri. And this is the last package, the last part of the package that we announced for transformers. Undoubtedly, last year, we were above 6.6% above our revenue. And this was necessary for us to conclude the expansion cycle and the transformer business. And then to consolidate that, we have the other opportunities. But looking ahead, what we are lacking in our investment package, which will continue after '27, the increase in the capacity of verticalization. It will go on in a more relevant manner after '27. But in the long run, we do not think that we will be operating outside the range of 26% of our revenue. But as I mentioned before, in '23 and '24, we had 4.9%, 5.1% in the upper limit. And therefore, it is likely that perhaps 2 -- 1 to 2 years later, we will operate at a higher level, and then, go back to normal.
Operator: Next question from Andressa Varotto, UBS.
Andressa Varotto: I have 2 right now. The first one would be regarding the margin we saw, a margin expansion that was a bit unexpected. Here in the market, we expected a stronger impact of tariffs on costs in this quarter, and we were positively surprised. I would like to know if there was any initiative or anything else that turned out to be better than expected? And a follow-up on the transformer capacity, what should we expect for the second half of this year? Would it be in the third or fourth quarter? And also what is the total to be expected?
André Rodrigues: Andressa, thank you for your question. Let's talk a little bit about the margins and the market expectations, and then, we have the expectations of fluctuations for 2024. I think that this work is constant work that we do here at WEG. And of course, there are times when you faces challenges such as the tariffs that were imposed throughout '25 and where we anticipated a higher impact on the margins. And it's important to highlight that -- regarding the attempt to compensate tariffs, we were successful in our attempt. We reviewed our business strategy among other factors, but we are going through a very positive moment globally. So basically, this was positively impacted regarding our expectation.
André Salgueiro: This is Salgueiro, Andressa. Regarding the T&D capacity I would like to remind you that we made some announcements from the end of '23, with the intention to double the capacity we had until the end of this year and early next year, these products have been happening. And I would say that part of it has already come in, and we do have a first and more relevant project coming early this year, and the new bidding capacity this year. And then, if you look at the figures and if you look at [ Betim ], we're probably close to 25% of the intention to double this capacity. And then, we would have about 55% of this capacity to add at the end of this year and then early next year because we're talking about Gravatai here in Brazil and the new plants in Colombia and Mexico in the external market. But I would also like to highlight when we talk about capacity that we are talking about the concluded plant, and we will not necessarily start operating at full capacity. It's only natural in this business, and we have a gradual occupation. From the point of view of revenue and contribution for the result, we will start strongly next year. And then, we will gradually have a contribution throughout '27, but it will be more significant after '28.
Andressa Varotto: I understood. But Salgueiro, regarding the figures you mentioned, '25, are you talking about Mexico alone or to the total? And also a follow-up because I would like to know if you have started any efforts regarding the capacity that is coming in?
André Salgueiro: Well, actually, this is the total number. We announced investments, both in Brazil and in the external market, but the idea was to double the global capacity of WEG in T&D. And so this is for anywhere. And we also have some projects that are moving forward. And when we have a better idea of the availability of the plant, we offer it to the market. We've also been communicating the demand is very needed and will remain so. So from a point of view of orders and portfolio, we do not see any risks. It's only a matter of being able to make the investments and have the plants available.
Operator: Next question from Andre Mazini, Citi.
André Mazini: I have two. The first one has to do with the back day regarding the solutions and services, so what is the impact in our -- what is the percentage of the revenue that you're allocating? And how far do you intend to go? And then number two, regarding growth of revenue for '26, based on the exchange rate of BRL 5.14, for the rest of the year, would it be more likely for the revenue to grow single digits? Or can we still consider 2 digits even if the exchange rate is not very good right now?
André Salgueiro: I will answer your first question regarding solution and services, and then, Andre will talk about investments. In fact, we tried to show changes that have been taking place at the company, a company that until recently was more focused on products and has now become a solution provider. We have product sales. We more and more incorporate services. So in fact, this has gained some representation. We have the creation of a new department for large machines to meet the demands of this market, the service markets. We do see increasing demand, but there are services related to the other units as well, both in terms of wind generation, solar generation, operation, contracts, maintenance contracts and which is our thermal generation company. There is a very representative component in the area of services, especially in the alcohol sector in Tupi, electric mobility related to the areas of software services, drivers. So there are different areas being opened up in the company, and the trend is for the revenue to evolve and continue growing, including in the industrial area. The softer solutions for clients, monitoring industrial processes. So it's only natural to expect such a growth, but we do not have a specific target, and there are a lot of opportunities, not only looking at services, but also looking at the solutions, which include equipment sales, service offer. So now, let's talk a little bit about perspective of revenue for '26. The company will undoubtedly try to grow even in a geopolitical scenario, which will remain challenging. But it's always important to take into account that we're moving smoothly with a good demand for transmission and distribution areas in Brazil and abroad. But of course, this year, we're limited because of capacity. We showed you our expectation of increased capacity, but we can see good opportunities in businesses such as electric mobility in BESS as mentioned in WEG's preparation to capture opportunities not only this year, but later ahead. Synchronous alternators, the demand, increasing demand for data center solutions. And when I talk about data centers, we always think about transformers, but WEG has complete solutions, full solutions to guarantee back up with alternators and BESS and automation solutions. So this is something where we have been receiving a good demand. But Andre, where we have some expectation is to undoubtedly try to have 2-digit growth, but this would be with a more stable exchange rates of the BRL compared to the U.S. dollar. The situation is different now. Our currency is valuing. And we have a greater challenge to make this happen. But if the exchange rate remains as it is, it will be harder for us to deliver 2-digit results. It's important to highlight that what prevented a growth in the revenue, which actually went down in the last quarter and that will have an impact, maybe not the same as in the last quarter, but a little bit of the first and second quarters are the same factors. The lack of a renewable portfolio, which we had in the first half of last year and then better exchange rates. I would like to remind you that the exchange rate in the first quarter of '25 was in the order of BRL 5.84 and our situation now is that it is below BRL 5.20. And what is likely to happen is that we will have different growth profiles, lower in the first quarter because of the factors that I mentioned and a recovery in the second half with closer averages and also a little bit about -- related to the capacity announced by Salgueiro, and also, the comparison basis, which is more stable in the second half.
Operator: Next question from Lucas Laghi, XP Investment.
Lucas Laghi: Thinking about '26, but also talking about profitability. If we look at '25, as you commented, it was in the range of 23%, 24% in terms of the margin, as you commented. And it's always very good to have clearer visibility for margins for WEG. But I'm trying to understand this panorama for '26. And because exchange rate plays against us, T&D is high, but maybe because of a mix effect. It won't be as favorable, increasing price of raw materials and strong demand. So I would like to better understand the combination of all of these factors. And comparing it to 23%, 24%, does this range make any sense for '26? Or what should we consider now? I would like to know what the combination of all of these factors would result for WEG in '26? And then a second question regarding wind energy because we've been talking a little bit less about this, our perception is that the market will be looking ahead. We have the new 7 mega platform. We have to understand what the perspective is. And then, 4.2, which was well accepted domestically, but I would like to know what will happen in the foreign market. I would like you to talk a little bit more about this project and what we can expect for the future?
André Rodrigues: Lucas, thank you for your questions. Let's talk a little bit about margins now. We are -- the management is very happy with the margins we've been delivering in the past years. It's very close to '22, and therefore, we're very happy with that. And we will start '26 with an expectation to deliver margins that are close to the average of the past years. It's very difficult to always have a margin projection. We can have some variations regarding the delivery of long-cycle products, special products that could change that. And of course, the mix could have an impact on that. But in the first quarter, I will tell you that we have a more favorable mix than we had in the first half of last year, and that is very positive. And then, part of this good performance, and I commented it already, has to do with the transformer business, which has had a positive impact in the past year. So it's also important to monitor whether that will change this dynamic or not with exchange rate variations. But in the short run, we always say that the correlation margin and exchange rate is not very good for us. But we also have the benefit of having stock, which was purchased with a different exchange rate, leading to benefits. And then -- but the other way around also happens with a valuation of the BRL that also has an impact, but in the midterm that will be compensated. But that will lead or might lead to changes between one quarter and the other. We also can expect some changes in tariffs. We continue monitoring relevant changes in commodities and that could also have an impact, especially copper, which is a very important raw material. But what I can tell you today is that for the year, we expect to have healthy margins aligned with what we've been practicing in the past years. Regarding wind energy, we have Brazil situation, and we have not seen significant investments in Brazil in the past years. But also, we have the regulated market, which is not very active. And then, we also have competition related factors, and basically, investments in wind energy have stalled. And there are eventual risks that for the future, we will have to consider new generation sources, and it's only natural to imagine that looking ahead, we will have new investments, and we should resume investments. We do have a sales profile that makes a lot of sense. But looking at the midterm, we do believe in the development of this market. And we have field tests and new developments in Brazil would take into account this new machine. We also have a market in India that you commented, and that would be with the 4.2 platform. It's already certified. The developments have been basically concluded, and we are now working around our first order. We also have the U.S. market that would be with the machine 7. We do not have a contract, but we are working with our business area, and we want to have everything prepared. And when we look at this year and probably next year, we will not have a contribution of in general, but what we will see is that this segment being more representative in the mid and long term.
Operator: The next question comes from Pedro.
Pedro Fontana: I would like to explore the capacity of transformers once again for '27, and I just wanted to understand because the margin expectation should be close to what has been practiced. But for '27, do you believe that we will have increased margins because of the changes in the mix with more transformers? And I also wanted to ask for '26 because you commented about the exchange rate and expectations of growth. But for '27, with increased capacity, do you expect that we will have an impact more towards the end of the year? Or could we expect resuming 2-digit levels earlier in '27 without exchange rate factors?
André Rodrigues: Well, thank you for your question. I think it is too early for us to talk about the margin for '27. There is a very important slide in our investor presentation, which shows the dynamics of short and long cycles. And of course, if we consider that only the transformer business will go, we can think of better consolidated margins than we've had. But in reality at WEG, all of the other businesses are pursuing investment opportunities. And therefore, it will depend a lot on the mix, and we will have to wait a little bit so that we have better visibility. And the second aspect, more for the end of '27, we need to have variety for these plants. And just to give you a better idea, when we talk about increased capacity, just so you know, the training of a technician to work with transformer, it takes about 2 years for a person to be trained to manufacture a transformer with the quality demanded for this type of product. And of course, we will increase our capacity. We will observe what happens, but we will see these changes more towards the end of '27 and after that.
Operator: Well, next question from [indiscernible].
Unknown Analyst: I have 2 questions here. First, you talk about T&D in Brazil. Could you give us an idea of how much the Brazil reduction was when compared to solar? And how many -- or what was the decrease in the T&D deliveries? We always make mistakes when we try to define what WEG's margins are going to be. But now we have a very strong component in the U.S. tariffs, the U.S. tariffs, and if you consider tariffs are 15% or not, we come to an estimate of -- margins of 1.1%, 1.2%. This will be more constant and relevant for WEG. So I wanted to better understand if there are any specific factors involved in terms of time, payment of tariffs, and when they will no longer be charged because I understand that you will wait for us to have a final decision, but in the meantime, will there be an impact? I wanted to understand if this makes sense, and when will this stop having an impact?
André Rodrigues: Regarding T&D or else regarding Brazil, we had a significant decrease in the quarter. Unfortunately, we do not break down according to the different businesses, but I would like to share that most of it was in fact the impact of solar energy, where we had a very significant concentration in the end of '24, '25 in the deliveries of projects. And these projects are no longer present in our portfolio, so we can say that an important part of this decrease resulted from GC. And we also had a less relevant impact, but even more important than T&D, which was wind energy because we still had something happening in the end of '24. And we had basically nothing. The maintenance contract remains. But when we talk about new machines, we had an impact from wind energy in this comparison quarter-over-quarter. And then, we had T&D. And the new thing is that we didn't grow this quarter. There was a small decrease, but that was part of the issues we had in the development. This is related to solar energy. And this is something natural that happens with this type of project depending on the deliveries and on how we organize our projects.
André Salgueiro: Well, I will talk a little bit about tariffs. We have to keep in mind that we're talking about 232, which doesn't change. And in the past, WEG focused more on Mexico because Brazil already had 50% tariffs. But now Brazil, as the rest of the world, will go into 232, which has to do with taxes on copper, aluminum and iron. But then, it will expire, from 40%, it will go to 10%, maybe 15%. But the impact of that will be seen later on. We have to keep in mind what the new orders are right now. So getting out of Brazil, we have the transit time, and so this impact on cost of imports going to the U.S. is something that will be seen in the second or third quarters. Now, we will have to monitor the impact this may have on business aspects that should be evaluated later on.
Operator: I will continue with our next question from Marcelo Motta, JPMorgan.
Marcelo Motta: Could you give us some light on the minorities because if you look at the volume related to profit, we can see that it's been growing, and is this a trend that we should expect from now on? And the other question has to do with the effective tariff rates and whether it would grow or not, but it is still at very low levels. You're trying to obtain new forms of tax efficiency. But should we expect that it will be below 20%? I wanted to better understand what range we can expect.
André Rodrigues: Regarding the minority line, basically, what we have there are the results for the areas where WEG does not have 100% participation. So we do have some operations here in Brazil, and perhaps, we have a highlight to our joint venture in the reducers area, but the most relevant thing is the T&D operation in Mexico and the United States, where we have a partner. And then, it has to do with that. So what has happened is that the T&D business has grown at a very interesting result, both in terms of revenue, but also profitability. And this leads to better results. And then, if we look at this quarter, WEG's revenue went down on the consolidated results, but it increased significantly. And therefore, the debt line has reduced. But what will be the growth range of the other businesses, if we follow it quarter by partner, we know that it will keep on growing. And if we look at this alone, the expectation is for this line to grow a little bit, but we also have other businesses in the company that may evolve depending on the mix, and there will be some differences. And regarding the tariffs, the normalized one will be in the order of 20% as it was the average for '24. But what happened in '25 was that it ran below that, and this had to do with improved profits. And we also had a positive contribution of tax incentives, especially related to the technological innovation law. But our expectations didn't change.
Operator: Our next question is from Lucas Melotti, Banco Safra.
Lucas Melotti: We've seen an acceleration of announcements of new data centers in the U.S., including increased energy demand, which has grown exponentially, which will be significant in the U.S. and even taking into account the capacity of the industry, which will grow in the upcoming years, do you see any room for relevant price increases?
André Rodrigues: Lucas, thank you. We've been tracking the development of the data center market, not only data centers, but energy consumption and demand, especially for our equipment. So this has been the main driver in T&D, especially in the foreign market. And this trend tends to continue. When we look at the market itself, the portfolio is robust. But we also see other players in the industry announcing an increase in the capacity. And what we've seen from a commercial point of view, at least for the past quarters is that we have good profitability without significant expansions, as we saw last year and in the past couple of years. And if the demand proves to be more heated for in the future, then we can eventually start a new price cycle that will help us grow. But this is not our basic scenario for right now. Right now, we will be at a good level with good profitability for the company.
Operator: We now conclude our Q&A session. And as a reminder, if you have any further questions, please feel free to send them to our e-mail address at ir@weg.net. I would now like to turn over to Andre Rodrigues for his closing remarks. Andre, please go ahead.
André Rodrigues: Well, once again, I would like to thank you all for your presence and participation. And we will talk to you again when we have our conference for the second quarter of '26.
Operator: WEG's teleconference is now over. We thank you all for your participation, and wish you a good day. [Statements in English on this transcript were spoken by an interpreter present on the live call.]